Operator: Good morning, ladies and gentlemen, and thank you for standing by. Today's call is being recorded. I will turn the call over to Eduardo Diaz Corona, Senior Vice President and General Manager of Liberty Puerto Rico.
Eduardo Diaz Corona: Good morning. And welcome to Liberty Latin America's Full-Year 2023 Investor Call. At this time, all participants are in listen-only mode. Today's formal presentation materials can be found under the Investor Relations section of Liberty Latin America's website at www.lla.com.  Following today's formal presentation, instructions will be given for a question-and-answer session. As a reminder, this call is being recorded. Today's remarks may include forward-looking statements, including the company's expectations with respect to its outlook, its future growth prospects and other information and statements that are not historical fact. Actual results may differ materially from those expressed or implied by these statements. For more information, please refer to the risk factors discussed in Liberty Latin America's most recently filed annual report on Form 10-K along with the associated press release. Liberty Latin America disclaims any obligation to update any forward-looking statements or information to reflect any change in its expectations or in the conditions on which any such statement or information is based.  In addition, on this call, we will refer to certain non-GAAP financial measures, which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to this presentation, which is accessible under the Investors section of our website. I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: Thank you, Eduardo. And welcome everyone to Liberty Latin America's fourth quarter results presentation. I'll begin with a group highlights and an overview of our operating results by reporting segment. Chris Noyes, our CFO, will then follow with a review of the company's financial performance. After that, we will get straight to your questions. As always, I'm joined by my executive team from across the region and I will invite them to contribute as needed during the Q&A following our prepared remarks.  As a point of housekeeping, we will both be working from slides, which you can find on our website at www.lla.com.  Starting on slide 4 and our highlights for the year. We consistently grew our high speed internet and postpaid mobile bases through the year, adding 186,000 subscribers in total. This represents an overall increase of 5% in our base and is evidence of the volume growth potential in our regions we have previously discussed. Broadband performance was particularly robust, with growth across our reporting segments.  We reported adjusted OIBDA of $1.7 billion in the year, representing a 6% year-over-year increase. This is our best rebased growth performance since 2019 and was driven by double-digit growth in C&W Caribbean, Panama, and Costa Rica. We grew despite the shortfall in Puerto Rico.  We continued to also allocate capital for buyback programs with $300 million between stock and convertible purchases in the year. We anticipate that convertible bonds will represent the majority of our buyback this year, with $220 million currently outstanding and due in July.  Finally, we are making progress with our key business integration activity in Puerto Rico, with over 80% of our customers now successfully moved to a new mobile core and IT platform. I'll provide more details later in the presentation. But the key message here is that we are on track with the timeline we communicated when we last updated the market in November.  Turning to slide 5. I'll begin our operating review with C&W Caribbean where we saw good momentum throughout the year, consistently adding subscribers and positioning the business to continue its growth profile in 2024.  Starting on the left of the slide with our subscriber additions. We delivered nearly 100,000 additional subscribers across Internet and mobile postpaid in the year. This represented a 9% uplift in adds year-over-year and was driven by growth of over 30% in Jamaica. Our FMC strategy continues to drive performance in these two product lines, growing volumes and improving our churn levels. We intend on taking price increases this year consistent with inflation. We will be tactical and thoughtful about it to optimize price increases versus churn and retention kickbacks.  Moving to the center of the slide and our revenue by product. The pie chart depicts the well diversified nature of C&W Caribbean's revenue with B2B and consumer fixed the largest elements followed by consumer mobile. Revenue was flat year-over-year underlying growth was offset by the discontinuation of transit business, which we have mentioned throughout the year. Adjusting for this, our rebased growth rate for the year would have been nearly 300 basis points higher. Overall, 2023 was a good operational year for C&W Caribbean and, as Chris will come on to, this helped drive strong double-digit adjusted OIBDA growth.  Moving to slide 6 and our C&W Panama segment. Starting on the left of the slide, we continued our broadband momentum in 2023, adding 29,000 subscribers which was 12% higher year-over-year. We're continuing to invest in our network, expanding and upgrading with FTTH home passings, and I'm pleased to say that only 6% of our footprint is now covered by copper. Our focus is to remove this substantially by the end of 2024.  In mobile, we reported modest postpaid losses driven by retail disruption during some protests in the quarter. Looking ahead, we are focused on prepaid to postpaid migration, increasing the use of our digital channels, improving the effectiveness of our campaigns, and achieving better retention. Similar strategy to the one which has brought us success in neighboring Costa Rica.  Moving to the center of the slide and our revenue streams, which in aggregate drove our top line 5% higher in the year. Growth was driven by B2B and fixed products, which were up by 12% and 7%, respectively. B2B had a strong year following a number of high profile contract wins and growth in underlying recurring revenue.  Our fixed performance was supported by higher volume from our successful commercial strategy, including a focus on triple play plants, which now represents over half of our customer base. In mobile, revenue was broadly flat. And as mentioned, we are focusing on the strategy to drive growth in 2024. We plan on moving our prepaid pricing up through a thoughtful value ladder. This and adjustments to postpaid pricing is expected to drive mobile revenue growth this year.  Finally, through our integration update in the lower right of the slide. We have made good progress with our plans and achieved $70 million of total run rate synergies by the end of 2023, of which approximately $20 million related to cutbacks, providing a tailwind for the business into 2024.  The main outstanding area is to complete the migration of acquired customers. To date, we have successfully brought across 100% of the prepaid base, and we plan to have all customers across in the first half of the year. Note that this is not expected to be as challenging as in Puerto Rico, given our existing mobile platforms and capabilities in Panama.  Next to slide 7 and Liberty Puerto Rico. Starting on the left of the slide. We delivered a robust year of in net additions, growing our subscriber base by 4%. Our business has continued to invest in products and infrastructure with over 50,000 new fiber to the homes passed or upgraded to fiber to the home in the year, an increase of over 20%. We now have 150,000 fiber to the home or 13% of our network with FTTH, while the majority of HSC is at DOCSIS 3 level.  Turning to mobile, we've had a challenging year, particularly in the fourth quarter as we accelerated our migration efforts. I would highlight a couple of points here. Firstly, we have been impacted by the withdrawal of ECF funding for schools in Puerto Rico. This is a program funded by the Department of Education. This drove 15,000 subscriber losses in Q4 2023 and we anticipate a further 50,000 headwind in Q1 2024. ARPU for these customers is less than half our average across the base.  Secondly, I mentioned our new prepaid offers during the last call, and these have started to show positive results. Overall, however, sales have been challenged as we have repurposed our in-store customer facing colleagues to focus on migration activities. This will reverse once we are through the migration, with our sales force primed to [indiscernible] towards driving volume growth.  We also plan to bolster this year with our proposed acquisition of Boost customers from Dish Networks later this year. These actions should help drive an anticipated inflection in the second half, as I'll come on to.  In the center of the slide, we show the revenue mix in Puerto Rico and our overall 3% top line decline in the year. This was driven by growth in our fixed consumer and B2B operations being more than offset by mobile challenges. We plan to reverse the mobile trend in the second half of 2024. When we are done with the migrations in our stores, plus call center channels can get back to selling.  Finally to our integration update. We have made significant progress in migration activities since we last updated the market in November, and have now moved over 800,000 customers to our network and billing platform. This represents nearly all of our prepaid base and over 90% of our postpaid and over 40% of our B2B customers. We have stopped selling new consumers on the AT&T IP stack, and this is a major step in our integration.  We continue to anticipate completing the project in April and ending the TSAs in June. This will drive volatility in the first half. However, we anticipate achieving monthly adjusted OIBDA above $45 million at some point in the second half of the year.  Clearly, Puerto Rico is a tale of two halves. We will get through the migration and exit the PSAs by the end of June. And then we will redirect our teams to sell utilizing the flexibility of our new systems.  Turning to slide 8 and Liberty Costa Rica. Starting on the left of the slide. We saw a stable end to the year for our broadband subscriber base in what is our most competitive fixed market. We continue to expand our footprint, adding over 40,000 fiber to the home homes in the year, taking our total network to 750,000 homes passed. We now have 20% of our network on FTTH, and we expect that to be about 40% by the end of this year.  In mobile, we grew net adds again, reporting our strongest quarter of the year in Q4, and taking the year's postpaid subscriber adds to 87,000. FMC continues to be a key commercial factor driving this growth.  We have also launched our first 5G trials, and are prepared to be at the forefront of this development with spectrum that's allocated by the regulator.  Moving to the center of the slide. Consumer mobile remains our largest product with close to 60% share of revenue. This is followed by our consumer fixed business, representing just nearly 30%, and then the small but fast growing B2B operations.  Finally, our integration activities are now substantially complete with some smaller TSA supported activities anticipated to be migrated this year.  Moving to slide 9 and our Liberty Networks segment. This continues to be a great business for us, with exceptional free cash flow generation, but there is some volatility from quarter to quarter, driven by non-recurring and often non-cash factors.  To provide some visibility of the underlying trends in the business, on the left side of the slide, we present the third party monthly recurring revenue for December in each of the last three years. Here you can see that the business grew at a healthy top line CAGR of 8% over the period. Enterprise has been the fastest grower, up 9% relative to 7% in wholesale, driven by increased volume market share as we drove sales of our value added services.  Lastly, in December, we announced a collaboration with Gold Data to connect key data center location in Querétaro, Mexico with the US. This will open up a new subsea route from Veracruz in Mexico to Apalachee bay in the Florida Panhandle and from Cancun to North Miami.  Liberty Networks will interconnect with the new system, providing an additional route for the increasing Colombia and Panama traffic and increasing capacity on an existing route, CFX, which provides the lowest latency route to the US today.  Finally, to slide 10 and our strategic focus areas as we look to 2024 and longer term shareholder value creation. These priorities are split across three pillars, and consistent with those we have previously identified.  First, networks and IT. We have progressed our strategy to create a giga ready network, adding or upgrading 350,000 homes in 2023. And in 2024, we plan to add another 350,000 to 400,000 homes. Over 80% of our network is now capable of receiving 1 gig speeds and we are targeting approximately 95% by the end of this year.  As previously mentioned, the new mobile core in Puerto Rico is now fully operational. And we are strengthening our 5G position in Puerto Rico, specifically through the announced acquisition of spectrum there, while preparing for 5G launches in other markets with trials.  Second, our commercial approach. We continue to be focused on reducing churn. This is a material value driver for us commercially, and a KPI for our management team. Our push to drive FMC adoption is aligned with this and we continue to see good traction with our offers. Delivering a strong digital platform is vital to meeting our customers where they want to interact with us, improving the customer journey and also an important area where we can drive cost efficiency.  In 2023, we achieved 18% digital sales across the group and the target is to get into the low 20s in 2024.  Product development includes investment across our portfolio, but specifically in the high growth B2B segment and driving eSIM enablement.  Lastly, in this area, customer care is always a key focus with Quick Connect for installation proving popular and our self-care app adoption increasing.  Third, and finally, capital allocation. We completed the monetization of our tower assets in five of six markets with promise [ph] to complete in the coming months. We also continue to work towards getting the required approvals for the DISH spectrum and mobile subscribers in Puerto Rico and USPI later this year.  We continue to see a lot of value in our stock and have a buyback program in place. This year, our focus will be on redeeming the residual 220 million of outstanding convertible notes, but we will also look to continue repurchasing stock, particularly at the current levels.  Our balance sheet remains in great shape with a long dated maturity profile. And through adjusted OIBDA growth, we anticipate our leverage will naturally delever towards 3.5 in the coming years.  Finally, as always, we will continue to consider inorganic opportunities, which can drive additional stakeholder value, including opportunities to combine and rationalize infrastructure assets.  With that, I'll pass you over to Chris Noyes, our Chief Financial Officer, who will talk you through our financial performance before we take your questions. Chris?
Christopher Noyes : Thanks, Balan. On this slide, we highlight both our consolidated Q4 and full year 2023 results versus the prior year. Q4 is the first quarter where we didn't comp against VTR, which was deconsolidated at the start of Q4 2022.  We reported revenue of $1.16 billion in Q4 and $4.5 billion for 2023, reflecting a 1% rebased decline in Q4 and flat full year rebased growth. As a reminder, we discontinued a legacy non-core B2B voice transit arrangement in C&W at the start of 2023, which depressed this year's quarterly revenue by $10 million and full year revenue by $40 million, adversely impacting our rebased growth rates by about 1%.  Our best rebased revenue growth performers on a full-year basis were C&W Panama, Liberty Costa Rica and Liberty Networks.  We delivered adjusted OIBDA of $432 million in Q4 and $1.7 billion for the full year. For both periods, rebased adjusted OIBDA growth was 6% year-over-year, with double digit performances in Liberty Costa Rica, C&W Panama and C&W Caribbean.  We achieved our 2023 adjusted OIBDA guidance and a 37.7% margin, which improved over 100 basis points as compared to 2022. For both reported revenue and adjusted OIBDA, our Q4 results showed sequential improvement to Q3 in absolute terms.  Slide 13 recaps our segment results and I will focus on Q4 specifically. Starting with C&W Caribbean, we reported $366 million of revenue in Q4, reflecting flat year-over-year rebased growth. And adjusting for the aforementioned transit revenue, rebased growth would have expanded to 3%.  Specifically, we achieved rebased residential, mobile and fixed revenue growth of 5% and 3%, respectively, over the prior-year quarter, helped in large part by 70,000, postpaid and 27,000 broadband additions since the beginning of 2023.  Adjusted OIBDA expanded significantly in Q4 to $116 million for 16% rebased growth. The primary driver of this growth was due to reductions in direct costs, especially with respect to handset and programming expenses and lower bad debt expense. As a result of our cost improvement, we drove our adjusted OIBDA margin to nearly 44% in Q4 and 42% for the full year.  Next to Cable & Wireless Panama. The business continued its strong performance into Q4, delivering $206 million of revenue and $67 million of adjusted OIBDA, the highest totals of the year. Revenue expanded by 2%, while adjusted OIBDA increased by 17% year-over-year.  Q4 revenue growth was driven by 8% growth in B2B on the back of new project wins and 6% increase in residential fixed as a result of a 10% expansion in the RGU base over the last year. Offsetting in part was a 5% decline in residential mobile, primarily due to a decrease in prepaid RGUs, exacerbated by countrywide protests during the quarter.  As had been the case all year, our adjusted OIBDA performance was helped by value capture from the 2022 Claro acquisition, which should further act as a tailwind into 2024.  Turning to Liberty Networks, we reported $114 million in revenue and $62 million in adjusted OIBDA, reflecting rebased declines of 9% and 22%, respectively. The comparison to Q4 2022 was difficult as the prior-year quarter benefited from higher revenue from a customer that's recognized on a cash basis, IRU accelerations and higher amounts of deferred revenue amortization.  The combined quarter-over-quarter impact of these factors was approximately $16 million. With that being said, Liberty Networks revenue was broadly similar to Q3 and adjusted OIBDA was only lower by $3 million. Consequently, our adjusted OIBDA margin remained very high at 54%.  Second from the right, Liberty Puerto Rico. Our revenue in Q4 was $354 million and adjusted OIBDA was $104 million, representing rebased declines of 5% and 12%, respectively.  As compared to Q4 last year, residential fixed revenues was up 5%, driven by a combination of volume and pricing, which was more than offset by a 11% decline in residential mobile revenue, primarily due to a decline in equipment sales, and to a lesser extent, a decline in mobile subscription revenue, mainly pertaining to prepaid subscribers.  Our Q4 adjusted OIBDA of $104 million compares to $118 million in Q4 2022 and $116 million in Q3 2023. A key factor in our lower adjusted OIBDA as compared to both periods is the result of significantly higher operating costs attributable to our migration and integration activities.  We incurred $7 million of incremental integration OpEx in Q4 2023 as compared to the prior year quarter, driven by a ramp up in migration activities. In addition, we're experiencing higher expenses in general during this period, where we are running parallel operations across our new platform and the AT&T platform.  On a full year basis, we incurred roughly $45 million of integration costs, with $20 million attributable to operating costs and $25 million relating to CapEx. In addition, we incurred approximately $90 million of cost to AT&T through the TSA arrangement.  With respect to the upcoming quarters, our expectation is that Q1 will be the toughest quarter to date from a reporting perspective, given elevated integration migration activities and the continued duplication of certain costs. We expect to build from Q1 as migration related and duplicative costs run off, we begin to execute on our revenue growth plan and we drive our cost takeout strategy. This should enable us to deliver what Balan had noted, which is reaching a monthly adjusted OIBDA of 45 plus million dollars at a point during H2.  As such, we expect the leverage to be high sided through Q1 and Q2 and begin the path to a more normal state in the second half of the year and furthermore into 2025.  Concluding with Costa Rica on the far right. We generated Q4 revenue of $149 million and $58 million of adjusted OIBDA, reflecting strong rebased revenue growth of 10% and an LOA segment-leading 36% rebased adjusted OIBDA growth.  Year-over-year revenue performance was driven by B2B and residential mobile revenue, helped in large part by over 85,000 postpaid additions during the year. Similar to previous quarters, adjusted OIBDA expanded significantly year-over-year, benefiting from the continued strengthening of the Costa Rican colón to the US dollar as we have certain costs denominated in US dollars.  As a result of the strong quarter, our adjusted OIBDA margin hit 39%, our best result in over two years.  Turning to slide 14, I will discuss 2023 P&E additions and adjusted FCM. First, we incurred $207 million of P&E additions in Q4 and $731 million for the full year, with the latter representing 16% of revenue, in line with our 2023 guidance target. Of note, as Balan mentioned, we built or upgraded about 350,000 homes during the year.  And second, we delivered adjusted free cash flow of $184 million for Q4 and $198 million for 2023 after distributions to our partners of $34 million for Q4 and $75 million for 2023. For the full year, we had targeted $300 million in adjusted free cash flow before partner distributions and finished the year with $273 million, a good result year-over-year. However, the risks that we had identified at Q3 did come to fruition, including a shortfall in B2G collections in Panama.  Moving to slide 15, we finished 2023 with total debt of $8.2 billion, cash of $1 billion, and access to over $850 million in revolving facilities. Our gross and net debt ratios to L2QA adjusted OIBDA were 4.8 times and 4.2 times, respectively, and over 95% of our debt is due in 2027 and beyond.  As a result of the tower transaction at year-end, in which we completed five of the six countries, with Bahamas to complete in the next few months, we recorded cash and debt of $244 million. The transaction is accounted for as a financing transaction.  In terms of our equity and equity-linked repurchase activity, we bought $300 million in 2023, including $118 million of our shares and $182 million of our convertible bonds. We finished 2023 with a fraction less than $140 million of our equity authorization remaining through year-end 2025.  On the right hand part of the slide, we thought it'd be helpful to provide a longer term set of financial targets that we are aiming to achieve. Over the next three years, through 2026, we are targeting to grow adjusted OIBDA at a mid to high-single-digit rebased CAGR. Similarly, like in 2023, we are targeting 16% of revenue for P&E additions annually, which should be able to support our growth and maintenance requirements.  Finally, we are targeting to deliver over $1 billion of aggregate adjusted free cash flow before distributions over the next three years. Important to note, as a result of the tower transaction, we will incur, among other items, transaction related taxes and currently intend to apply a substantial amount of the Panamanian net proceeds to repay high cost vendor financing debt versus 4.25% term loans. These factors would reduce our expected reported free cash flow by over $100 million in the year.  In summary, we remain focused on our customers and have been investing across our operations to improve their journey from sale to install to experience. We are beginning to see the fruits from these investments, as Balan touched on earlier.  Additionally, we remain focused on volume growth and improving our pricing effectiveness through utilization of AI tools and capabilities, which should underpin our top line expansion in 2024.  Importantly, we are near the finish line in Puerto Rico and are looking forward to inflecting the business in H2 and driving improved financial performance on the back of cross sell activities, more compelling CVPs and cost rationalization, including the elimination of the AT&T TSA expenditures. As Balan said, Puerto Rico is a tale of two halves. We will get through the migration and the team is poised to launch strong commercial plans in the second half.  Inorganically, we had two key announcements in 2023 – our tower modernization, which unlocks capital and enhances flexibility across the group, and the DISH transaction which upon expected close in 2024 should further strengthen our Puerto Rico business and help us further accelerate our mobile growth.  In terms of capital deployment, we continue to shrink our equity in 2023 and reduce the outstanding principal on our LLA convertible bond. We expect to see more of that in 2024, including the repayment of the remaining outstanding balance of the convertible bond this summer.  Wrapping up, we delivered 2023 growth in terms of adjusted OIBDA and adjusted FCF before partner distributions, which is a solid result when viewed across the industry and the overall business climate across the region.  Today, we have also shared our three year targets, which we're working hard to execute and which highlight the potential to create significant value over the coming years.  With that, operator, happy to open the lines to take questions.
Operator: [Operator Instructions]. Our first question today is from the line of Soomit Datta of New Street Research. 
Soomit Datta: A couple from me. Chris, just going back to your presentation, there were a few numbers in there – I'm not sure if they're on the slide deck – particularly regarding Puerto Rico. Do you mind just again kind of maybe talking through the cadence for 2024? You mentioned Q1 is going to be the tougher quarter and then you come out of that. Maybe if you could just – either just recap on some of those numbers or just, again, talk about some of the parameters around integration costs, EBITDA to the degree you can, maybe just walk through the year again in a bit more detail would be a great starting point, please.
﻿ Christopher Noyes: I think a couple things to point out. With the migration, we're at the tail end. So there's a significant amount of sort of costs right at the end as we move customers on both B2C and B2B. So as we look at the quarter and compare back to Q4, you do have customers that have incompatible handsets and things like that. So we will incur additional COGS running through the numbers in the quarter, as well as, I would say, a somewhat heavy set of integration costs, some of what you saw in Q4, but it'll be pretty heavy as we go February, March, April, and then start tailing off.  As I look at the OCF or the adjusted OIBDA number, and we look back over history, it should be the most compressed to date. And then, as we start tailing out in Q2, the TSA will wind off. So it starts ratcheting down, so that by the end of June, it will be off.  The overall TSA expense last year in 2023 was $90 million. I would expect it down 75% or so in 2024, which is all through to June. So, that's when you start seeing the pickup as that bleeds off as you get into Q3, Q4.
Soomit Datta: Just maybe as a follow-up then. If you could maybe just, again, similar kind of question, maybe talk through the cadence of the free cash flow guide in any more detail you can. I guess, one can assume the free cash flow for 2024 will be the lower end and I think that will build. But are there any other kind of puts and takes we should be thinking about? And specifically also, just on the refinancing, maybe you could just talk through that again? What are you assuming in terms of refinancing? When might that happen? How are you looking at the rates, et cetera, et cetera? That will be great. 
﻿ Christopher Noyes: A couple of things. I think we feel – pre-tower transaction, we feel really good about our free cash flow trajectory in 2024. The net impact which I did flag, we do have transaction related taxes that will run through the numbers, circa $45 million. So that wasn't obviously in 2023. And as we look at the vendor financing and debt stack in our jointly owned business in Panama, we do receive about $90 million of net proceeds in that business. And so, we're thinking of repaying very high kind of vendor financing debt, which is 2x our current long term debt in that business, which is at 4.25%. So, economically, it would make sense to repay some of that, which is a negative on the reported free cash flow.  So from a phasing perspective, 2024 would be the low versus $25.6 million. We should build as the synergies and value capture in Puerto Rico as well as the other things we're doing across group delivering on the adjusted OIBDA growth.  In terms of financing assumptions, we have 2027 to 2029 maturities of debt. We did assume we would be refinancing/terming out some of our debt during the 2025 – call it, 2024 to 2026 time period. Obviously, rates are higher today than they were several years back. So we've factored in much higher costs. Hopefully, we're being conservative and we have some upside on that in terms of as we look at our numbers. We're pretty prudent as we think about the sort of our cash flow trajectory. So I'm hopeful that we'll surprise over time.
Operator: Our next question today is from the line of Vitor Tomita of Goldman Sachs.
Vitor Tomita: The question from our side would be on Puerto Rico. Could you give me some more color on how the competitive situation is developing in Puerto Rico aside from the customer migration disruptions that affected Q4?
Balan Nair: Puerto Rico has been kind of an interesting market since early last year when our primary competitor there on the mobile side, T Mobile, became extremely aggressive on subsidies. And we've kind of zigged zagged around matching them. And you'll see that as we got into the second half of last year, we started doing a lot more handset subsidies. And in that case, I think we started to see some positive traction back again on the gross adds side.  But as we turned to this year, I think our biggest focus right now is in the migration. And during the migration, lot of our stores, both our retail channel, our stores, and our call center channels as well, all of them, we've kind of like just refocused them on helping our customers with the migration.  And so, the plan is, as we come out of the migration, which is really anticipated around – towards the latter half of April, and then starting in May, you're going to see us getting very aggressive back into the market on the gross adds side.  And the one thing we have that T Mo doesn't have, of course, it's a great company and all, is that on the island, we're local and we have FMC, which we didn't have, by the way, during the – when we were relying on the AT&T systems. So once we migrate everything over, I think we'll have a pretty good product proposition.
Operator: [Operator Instructions]. And our next question today is from the line of Matthew Harrigan of Benchmark Company.
Matthew Harrigan: Clearly, you've had some dispersion in the economic performance across your market. Cable & Wireless, I have to believe, economies are pretty good given the level of tourism right now. I know people have been concerned, even apart from competitive issues in Puerto Rico, on the long term macro outlook. But you talked about having broadband pricing increases at or in the vicinity of inflation. And there were some markets – I know the UK, all the entrants over there have had very material price increases. In some instances, you had realized ARPU, but this was pulled down as people downgraded some of their tiers. Is there anything that gives you concern on pricing? Are you quite confident you can pull off those price increases and is there anything really across your broad territories makes you concerned about the enterprise business, if you do get some economic softness? 
Balan Nair: I think when it comes to price increases, we're going to be very opportunistic, yet also realistic. And there's a couple of three different factors that drive that, of course. Different markets, it's going to be a very different outcome. So you look at one, the consumers' propensity to be able to absorb price increases. Secondly, look at where your competitor is at and what the expected response or what did they do first? Thirdly, you've got to look at this on product line. We have prepaid/postpaid, we have fixed broadband, video. Clearly, some products, you can take price increases on. And some products, you just – it's just not that smart to do it.  And then lastly, we also look at inflation in each one of these markets, and so you try to moderate yourself. As Chris alluded to in his comments earlier, we are looking at using a number of different tools to help us with this to not only maximize that price increase opportunities, but also to maximize it with minimal amount of churn and minimal amount of calls coming into our retention desk. And so, we're going to be very situational on price increases.  But, clearly, I think this industry, everybody in the telecom space, I think, are kind of like minded that, for the longest time, we've held back on price increases. I think some of the costs, we've really absorbed in our businesses. I think our consumers also understand, to some degree, that some of that costs will come back because it comes back to them in other things, whether it's food, energy, etc. But telecoms have remained relatively flat. So, I think you'll see some price increases across the board. And that's what I'm hearing also from some of the other folks, whether it's in North America, in Europe or in Asia, everybody's looking at it that way.
Matthew Harrigan: And there's nothing that concerns you right now in the enterprise business in terms of its interlace with the economies?
Balan Nair: On the enterprise, it's kind of interesting because we have – it's enterprise to the large enterprises to our government, and clearly, the SME, medium enterprise and SOHO. And each one of them will have different reaction to this. I can tell you, for sure, on the government side, all governments in our region are under a lot of pressure. I don't think you're going to see much price increases in that segment. In that segment, we are focused on more volume, we're focused on more new products. But we're not going back and taking a look at increasing their prices on the back book. On large enterprises, I think there's opportunity for us, for sure, especially in some of the new services that we intend on coming up with. And so, I see opportunity. The, certainly, in the SOHO space, there's opportunities as well. And once again, it's situational and by country. So some countries, I think there's more opportunities than others.
Operator: Our next question today is from the line of Gabriel Vaz de Lima of Morgan Stanley.
Gabriel Vaz de Lima: Just wanted to get your thoughts in terms of what are the trends you're seeing for first quarter, anything you can share with us will be super helpful.
Balan Nair: I've got to be careful how I say this because there's no further guidance beyond the guidance that we've provided. I can see that January sales are coming in well. But that's also – we'll be cautiously optimistic because we want to get through the migration – and we want to get through the migration of our customers in Puerto Rico and get that behind us. And then we'll look at the second half more clearly. But January sales are coming in right around to slightly better than budget. [indiscernible]. One month does not make a trend.
Operator: Next question today is from the line of Michael Rollins of Citigroup.
Michael Rollins: First, I was just curious if you can unpack a bit more of what's happening in Liberty Networks in terms of the financial performance in the fourth quarter and how that might progress on a go-forward basis.  And then secondly, and just taking a step back, where is Liberty Latin America on the journey of optimizing the assets that you hold and operate? And is there anything of significance that's kind of left to do or important to do that investors should be mindful of?
Balan Nair: I think as Chris pointed out, the delivery networks revenue stream is kind of very interesting. We do have a number of non-cash revenues that come in that's kind of – it's very lumpy, whether it's IRU acceleration or one-off IRU sales. And so, when we came into December of last year, fourth quarter, there were a number of contracts that we were looking at with some really some of the hyperscalars as an example, that, for one reason or another, it was phased out into the second quarter. They were not as much cash impacting, but they certainly revenue that we would have booked in the fourth quarter. So from a revenue lines perspective, you'll see some lumpiness in a lot of these one-off, what we call, NRR, non-recurring revenue opportunities.  Now, one thing that Ray and I and a number of folks have been focused on on this business is moving a lot more to the MRR type revenue streams. And you can see that in the bottom line as well. So, therefore, when you look at the year-over-year growth, it is somewhat impacted, but when you look at the cash flow growth, it's less impacted.  And you'll see in 2024, one of the things Ray is working on – two things I'm really excited about is, one, the way we're migrating a lot of our revenues into longer term and really cash generating revenues, which we have done up, but now we're going to focus, double down even more on those. And secondly, you saw from my comments earlier today and press releases that we've put out last year on new routes that we're building, we really see a lot of opportunity in this segment where we're going to invest in more routes, demand for traffic is higher than ever, we're going to build new drops into locations where we think the hyperscalars are going to be able to build even more data centers. It's going to bring a lot more traffic back to the US.  I'm actually very bullish and excited about this business unit. Ray, maybe you want to add on to that.
﻿ Ray Collins: Yeah, I would say I think you hit it down. But just the slide that you shared on the presentation where you see the 8% growth on the MRR, which taken together with our intercompany revenue, makes up the majority of the overall revenue in the segment. So you're seeing underlying top line growth at 8%. But you do get volatility from quarter to quarter and year-over-year in terms of quarters. But in many cases, that is, as Balan said, non-cash impacting. So, I'd concur that we're very bullish on the future growth of this business.
﻿ Christopher Noyes: And I would add just one thing on the – sorry, I was just going to add one more point the network's revenue. We did have a very large cash collection in Q4 2022. And it's a customer that we recognize revenue on a cash basis. And then in 2023, we collected throughout the year. So, that's sort of the biggest delta on a year-over-year basis for the business. It was skewed from the Q4 2022.
Balan Nair: That's our large customer in Venezuela. And I think you had a second question, which was on the footprint. Is that correct? 
Michael Rollins: Yeah, exactly. Where Liberty Latin America is in terms of optimizing the assets that you hold and operate and if there's anything that you feel is left to do of significance that we all should be mindful of? 
Balan Nair: I think we'd actually quite opportunistic in the space. There's two really business segments in Liberty Networks. That's the wholesale business where we have subsea landing points in a number of countries. And I just alluded to the fact that we're building even more so coming out of Colombia, into Mexico, and then back to Miami, with drops in Panama, et cetera. So we'll get more landing sites for subsea business and more – a bigger mesh, I guess, you can say.  But in addition to that, we also have another segment within this unit that is focused on enterprise B2B. And we are in Central America, we are in Colombia, we are in Dominican Republic.  And I must tell you, I'm actually quite excited about a number of these areas. And one of the things that Ray and Chris and I are going to be looking at is perhaps different ways on expanding our footprint in some of these markets [indiscernible] actually quite positive. The numbers are pretty small right now, but we're going to relook at a lot of our investments. And I think there's a huge opportunity. I'm particularly excited about El Salvador, Guatemala, Honduras and these countries. I think there's something there, but you'll see that play out in 2024.
Operator: Thank you. That will conclude today's question-and-answer session. I'd now like to hand back to Balan Nair for any additional or closing remarks.
Balan Nair: Thank you, operator. And to everybody who saw our guidance, we've moved from a one year guidance to a three year guidance. And I think that gives you a little bit more visibility mid-term to our business.  And I want to emphasize one of the things that Chris said, especially on the free cash flow. I think I said greater than $1 billion. I think we are quite optimistic about the future.  And now I do want to thank all of you for your support. Have a great day.
Operator: Ladies and gentlemen, this concludes Liberty Latin America's full year 2023 investor call. As a reminder, a replay of the call will be available in the Investor Relations section of the Liberty Latin America's website at www.lla.com. There, you can also find a copy of today's presentation materials.